Operator: Good day, and welcome to the Velodyne Fourth Quarter Fiscal Year 2020 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Kirsten Chapman of LHA Investor Relations. Please go ahead, ma'am.
Kirsten Chapman: Good afternoon, and thank you for joining us on today's conference call to discuss Velodyne Lidar's fourth quarter and full year 2020 financial results. With us on the call are Dr. Anand Gopalan, Velodyne's Chief Executive Officer; and Drew Hamer, the company's Chief Financial Officer. Before we begin, I would like to remind you that shortly after the close of market today, Velodyne issued a press release announcing its fourth quarter and full year 2020 financial results.
Anand Gopalan: Thank you, Kirsten, and thank you to everyone for joining us this afternoon. I'm Anand Gopalan, CEO of Velodyne. Our fourth quarter and full year 2020 results demonstrate that we continue to expand our leadership position in the lidar market. Velodyne is the only lidar company today with both the breadth of product portfolio and the manufacturing capability to deliver low-priced lidar with multiple specifications at scale for many real-world applications. We shipped a record 4,237 sensor units in the fourth quarter and 11,710 for the full year. This included 718 solid-state lidar units in Q4. We are manufacturing and shipping more lidar units than all our competitors have reported. In fact, we shipped more products in a week than all the other players have reported shipping in a whole year. In addition, we have expanded our offerings and now provide full solutions of hardware plus software through our acquisition of Mapper.ai. This is an exciting new part of the story. In terms of manufacturing, we have fully automated wafer scale-like lidar manufacturing processes in place today and operating with our contract manufacturers. We can produce at scale, and we are far along the path to mass production and continue to execute on our strategy of transferring manufacturing of mature products to contract manufacturing partners. Despite COVID-19, we have not slowed down. We continue to set production records and are making significant progress on our growth plans. This uniquely positions us to meet the rapidly growing volume requirements of our customers in the coming years. Thanks to its broad rotational and solid-state lidar portfolio, Velodyne's ability to address many segments is a key competitive strength.
Drew Hamer: Thank you, Anand, and thank you again to everyone for joining us today. I’m Drew Hamer, the CFO for Velodyne Lidar. I'll begin with an overview of the company's fourth quarter and full year 2020 results before moving on to a discussion of our target business model, supporting our positive long-term outlook. Total revenue was $17.8 million for Q4 2020, compared to $19 million in Q4 2019. Product revenue was $14.4 million in the quarter compared to $18.2 million in Q4 2019. As we disclosed in January, we reduced production capabilities at our manufacturing sites late in the fourth quarter of 2020 due to COVID-19, which impaired our ability to fulfill certain customer's orders in December and negatively impacting product revenue. As our strategies to accelerate the adoption of Lidar by lowering ASPs and driving higher volumes reduced ASPs also had a negative impact on revenue year-over-year. We are extremely pleased to see our strategy working as demonstrated by the fact that units sold went up year-over-year to record levels. As we predicted the products mix continued to transition to more efficient solid state units. We are anticipating the sales of solid state Lidar units will be 30% in 2021. On reviewing our current pipeline, we expect that this could increase to 60% of revenues by 2024. When combined with the increasing pipeline for 2020, we continue to see that this strategy will drive long-term growth for Velodyne.
Operator:  And we'll go ahead and take our first question from Itay Michaeii with Citi. Please go ahead.
Itay Michaeii: Great. Thank you. Hi everybody. Just two questions the first, maybe just on the business development it looks like I think non-auto now accounts for maybe, or at least over 50% perhaps of your total projects, but I just hope you can really talk about what you're seeing in the non-auto versus first kind of ADAS AUV side. And perhaps also talk about the latest inter in the competitive environment, particularly on the ADAS side of things with Velarray and Velabit.
Anand Gopalan: So as far as the pipeline goes, we continue to see the strong sense of growth in the non-automotive segment, while the automotive segment also continues to grow, especially in the ADAS space. And so I think that broad split off half-auto and half-non-auto still remains mostly irrelevant for Velodyne. Definitely in the non-automotive segment, especially in industrial robotics, we have seen explosive growth in the number of projects in that space driven by all the changes that we are seeing in our world, in this post-COVID world to our supply chain and the enormous investments that are made e-commerce and logistics customers are making in that space. Could you repeat your second question, Itay?
Itay Michaeii: So maybe just on the ADAS side, just talk about the competitive environment there. And just the traction you're seeing with Velarray and Velabit?
Anand Gopalan: Sure. We have as of now about 194 projects in our pipeline with about 61 of them being ADAS projects, and we are seeing a significant portion of those being demand for the Velarray. So the Velarray product has continued to mature. And as we talked about in the earnings calls we did – we manufactured and shipped over 700 of these products just in the last quarter. So we are seeing tremendous demand and excitement around the Velarray project. We are also really excited by the fact that Velabit product has now entered our pipeline as well. And we have over 20 projects in our pipeline that are around the Velabit. So most the Velarray and Velabit continue to garner significant attention in the automotive space and we see lots of projects around them developing.
Itay Michaeii: That's helpful. Let me just second one quick question, just on a financial, thank you for the update on the forward of business outlook through 2025. I think back in September, you had mentioned that I think maybe roughly like 56% of your prior 2024 revenue outlook was signed and awarded. I don't think you'd be in position to update that today, or you're going to talk about roughly kind of where you are relative to that for 2024. I believe the number was maybe like $380 million at a time that was finding orders back in September.
Drew Hamer: Yes. So we aren't providing any guidance that far out at this point. However, we do feel very confident with the signing award of contracts that we have currently plus the pipeline that we have that we should be able to achieve our financial goals as we get out into 2023, 2024 and 2025.
Itay Michaeii: Perfect. That's very helpful. Thanks guys.
Operator: We’ll take our next question caller, please. Go ahead.
Tristan Gerra: Hi, guys. This is Tristan with Baird. Can you hear me?
Drew Hamer: Yes, we can. Thank you for dialing in.
Tristan Gerra: Hi. Could you provide a bit more color on the Velabit design wins is that L2 plus applications. And if not, can you talk about the prospect, for L2 and whether you have already design wins in that segment and presumably what the timeframe will be for a ramp?
Anand Gopalan: Yes. We are seeing significant interest and discussion around the prospects of using lidar for Level 2, especially around products like Velabit products. We don’t have that converted into a design win just yet. However, as we have talked about the pedestrian the fact is that lidar is capable of providing far more robust functionality even in the context of a Level 2 application such as pedestrian automatic emergency braking, lane keeping and lane centering, than some of the existing technologies because of its ability to work across all lighting conditions. And because of that, we are continuing to see significant interest from our automotive customers around the usage of lidar in conjunction with our software for Level 2. So those conversations as still continuing and we believe that lidar will be adopted in Level 2 applications in the future.
Tristan Gerra: Okay, great. And then I know that you’re not going to provide a guidance until the second half of the year. How should I look at the unit growth this year? What is the expected price declines and ultimately that translating to actual revenue growth for this year, year-over-year.
Drew Hamer: Yes. So we can’t provide guidance on the year and year-over-year, but our thinking that we should see a jump in our unit growth this year, because we’ll be selling more Velarray so we expect the Velabit to also enter the market here in the second half of the year actually starting in Q2, I believe. So with those introductions that will bring the ASP down a bit. So even with the increasing volumes, we may see an impact on revenues overall. But we’re very focused, mostly around getting the unit buyers to expand because we believe that’s where the success of the company lies in the future, which of course is also backed up by all of the work that we’ve done by getting our units. So that we are in production on a number of our products in our manufacturing operations off-shore and mass production and also in the process of getting all these units up and running in the off-shore operations with our contract manufacturer. So really feel that we should be able to drive a lot more volume, which will ultimately in the years to come drive significant growth revenues.
Tristan Gerra: Great. Thank you.
Anand Gopalan: Thank you, Tristan.
Operator: We’ll take our next question, caller, please go ahead.
Colin Rusch: Thanks so much, guys. It’s Colin Rusch from Oppenheimer. Can you talk about the pipeline and the activity around the software that you guys can monetize with this hardware? Are you seeing real active agreements around the recurring revenue potential software upgrades? And how should we think about that as a percentage of revenue over the next couple of years?
Drew Hamer: Yes. So we are seeing very – the very busy pipeline, as Anand mentioned, we have a lot of projects currently focused on the software products. And that is expanding on a regular basis, almost daily at this point. And the types of products we’re expecting to have out there are going to be products that will allow us to get to a revenue model kind of a SaaS nature, where they we’ll have recurring revenue streams that’ll be on a monthly annual basis. We’re expecting the data growth will really start to kick in out in 2023, 2024 and then should represent, the larger portion of our revenues targeting right now. That’d be in at around 20% in revenues, as we get to say 2024. So, those are the key drivers for the software revenues.
Colin Rusch: Great. And then just in terms of system design, we’re working in a variety of different messages around portion of the sensor suite that gets assigned to Lidar and this ability to take some of the functionality away from Lidar and then off the sensors. Can you talk a little bit about that in terms of what you’re seeing in with the customers as you look at – out years on the revenue model?
Anand Gopalan: Yes. I mean, I think, all of the sensor technologies will continue to progress and grow and we see that investment in all the different sensor technologies continue. but Lidar is now by no means left behind with significant investments being placed with public companies like Velodyne being able to make significant R&D investments in the improvement and scalability of Lidar. So as that happens, we see that all of these sensor technologies will ask them to towards their physics limitations and Lidar by virtue of being able to really work across many different lighting conditions and provide a much higher resolution than radar does is assuming sort of a prime position in advanced safety systems, as well as advanced robotics and autonomous systems. And we believe that trend will continue when all of the exciting technology work that is happening in this space, and as well as the fact that you have significant investments in software development around the usage of Lidar and Lidar-based point clouds. So, we definitely see that reflected in the growth in our pipeline and in our conversations with our customers.
Colin Rusch: Great. Thanks so much, guys.
Anand Gopalan: Thank you, Colin.
Operator: We’ll take our next question caller, please go ahead.
Richard Shannon: Hi, Richard Shannon here from Craig-Hallum, guys. How are you?
Drew Hamer: Good, Richard. thank you for dialing in.
Anand Gopalan: Good, Richard. Thank you for dialing in.
Richard Shannon: You bet. I’m going to make this quick, because I got to jump on a couple of their calls here, but which you’re talked about in your early January press release about seeing some reduced visibility and Anand, I think you referred to a couple of scenarios, which I think is identified in the public realm. I think we’ve mentioned those to you. Are those things that are actually affecting this year, our checks that that may have been for the out years there. So, are those correlated or those different situations there?
Drew Hamer: I think, we’re seeing COVID-19 being more expecting it to be a short term, kind of an impact where people are just kind of waiting to get back into their offices and get busy. We’ve had a lot of – continue to get good responses around wanting to do multi-year agreements and honoring the multi-year agreements. However they’re just – their hands are tied, like all of ours where they can’t get into the office and start moving the industry to customers, because your customers are also at home like the rest of us. So, there’s a lot of excitement amongst our customer base to get back on plan and get back on track to all of the agreements we have, as well as the contracts you’re talking about entering into, which are in our pipeline. However, there’s just always that uncertainty around, when are they going to be able to start doing that, because of the speed, at which the vaccinations are rolled out geographically, each geography tends to have its own impacts right now. But people are very much interested in getting back on track.
Richard Shannon: Okay. So, would it be fair to say your decision to provide some guidance for this year starting in the second half based on hopefully the COVID dynamics are getting over with – and getting better visibility to that? Is that fair group?
Drew Hamer: Exactly. That’s what we’re expecting. That’s right.
Richard Shannon: Okay. A second follow-up question here is on the topic of ADAS, following on a couple other ones earlier here. just kind of big picture here, what do you see as potential for attach rate of Lidar to ADAS, where the cost center to be is fairly high? Do you see this as mostly replacement of other of other technologies or in conjunction with?
Anand Gopalan: yes. I think when you talk about the ADAS, there’s really in our mind two possible applications that is Level 3 ADAS, which going from like a traffic jam assist functionality to a highway autopilot as well as – and then the level 2 ADAS as the previous question alluded to, and we believe Lidar has a incredibly strong role to play in both. of course, really, the high volume attach rate for Lidar in automotive really opened up with Level 2 ADAS, where you had the ability to really see high penetration and attach rates for Lidar and on the backs of really cost-efficient scalable technologies like our Velabit, we believe that opportunity set will open up and really drive volumes while the tech space for level 3 remain quite modest and low, because they started the high-end wakeups.
Richard Shannon: Okay. Appreciate the thoughts and that’s all for me. Thank you.
Anand Gopalan: Thank you.
Drew Hamer: Thank you.
Operator: We’ll take our next question caller, please go ahead.
Rajvi Gill: Yes. Hi, thank you for taking my questions. It’s Rajvi Gill from Needham.
Drew Hamer: Hi, Rajvi.
Rajvi Gill: Hi, how are you? So Drew, you had mentioned that you expect to see kind of a jump in unit growth this year, kind of following the significant new growth in 2020. But ASP is coming down as we try to proliferate this into the industry, which may impact revenue and it did impact revenue in 2020, in terms of that offset between unit and ASP. Just wondering, what is the kind of the right mix of ASP versus unit growth? Do you think that you need to hit where you start to see kind of revenue growth? Just state how to think about that those competing dynamics?
Drew Hamer: Yes. So this is – it’s very important, because it’s been part of the company strategy to introduce, as we have a broad portfolio of products that are all designed to entry, meet different customer needs, and also included in those needs are coming into the market at the right price point, so that we can allow the proliferation of Lidar in multiple applications. The impact of that of course, is that it’s going to be bringing down the ASPs as what we have elevated to $100 and we have the other sensors at a couple of thousand eventually. So, we really think that as we get further out into say 2022, 2023, you’ll start seeing hundreds of thousands of sensors being sold, but there’ll be – at that lower ASP. And I wanted to caution people to think of it. in a quarter, it’s very hard to make any judgements. You have to look at it kind of on a linear kind of basis, because product sold mix in a given quarter, could not necessarily represent the overall impact for. So maybe, annual basis, this is a better way to look at it. And we’re expecting that as we get out into 2022, 2023, and the unit volumes start moving up towards 100,000 and maybe, out as we get closer to 2024, we may be even approaching 1 million sensors that these ASPs are going to be coming down into the $600 range. So it's really going to be a transition from where we are today and the ASPs we're seeing it, and we anticipate those will continue to come down. But the volumes will start to increase significantly as we get out into 2023 and 2024.
Rajvi Gill: Hello?
Drew Hamer: Sorry, I only heard that. Can you repeat the question?
Rajvi Gill: Sure. Could you provide what the blended ASP was for 2020 versus 2019?
Drew Hamer: For 2020, the weighted average ASP was approximately $3,800. 2019, sorry, off the cuff, I don't remember. I'll have to get back to you on that.
Rajvi Gill: Okay. No problem. And the last question, I mean, I saw that you're getting a lot of adoption in solid-state. I think you talked about the goal is to get to 30% in 2021 and then 60% in 2024. Just correct me if that's not right. Just wondering if you can elaborate in terms of your traction on solid-state, what the adoption has been with your customers? Thank you.
Anand Gopalan: Yes. I mean, you know, I think we see definitely that as I said before, there's more than one lidar technology needed to serve all of these different marketplaces. And I think we are really served very well by having both the rotational product line, which continues to actually work very well for AV, as well as shuttle and some smart city applications. But then we are seeing the solid-state lidar family really get a lot of traction, obviously, in the ADAS space, as well as in some of the robotics applications. So really, in applications where you have small form factor systems or systems where design aesthetics are really important, the solid-state directional lidar portfolio is really seeing a lot of traction and growth and demand in those sorts of applications, including robotics and ADAS.
Operator: We'll take our next question caller. Please go ahead
Drew Hamer: Actually, if you don't mind, I'd like to just make a correction there to Raji's question about the ASPs. In fiscal-year 2020, the weighted average ASP was about $4,800. And just on 2019, it was approximately $7,100. Sorry. Thank you. Please go ahead.
Operator: Thank you. We'll take our next question caller. Please go ahead.
Ruben Roy: Hi, Anand. It's Ruben Roy from Benchmark Company. Thanks for taking my question. Drew, I wanted to just follow-up on the ASP discussion just a little bit more. You guys mentioned, obviously there's other lidar companies coming out. I understand you guys are shipping many, many more sensors than a lot of the competitors. But has anything changed, would you say, in the last 90 days as we've seen more discussion around lidar, et cetera., around the way you were thinking about ASPs maybe back in June when you had your Analyst Day?
Anand Gopalan: Let me start by talking about that. I mean, no, I think we have – as a result of being the first mover and having the ability to sit across the table with our major customers for many years at this point, we have always had a clear-eyed understanding of where the end cost of the technology needs to get to for all of these different applications to enable mass-market adoption. And really, we have been making the investments from an R&D perspective and really driving the technology toward this point. If anything, all of this discussion around lidar over the past few months has really validated everything that we have said, both from our leadership position, as well as really where we think the market needs to go to enable mass-market adoption. And further, as is also evidenced by all of the conversations we are seeing, we believe there is a very strong market for lidar, both in automotive, as well as in nonautomotive industrial applications. And I think that is also being borne out by what all the discussions we're seeing in the marketplace. So no, nothing has really changed in terms of our outlook.
Unidentified Analyst: I appreciate that. And I guess as a follow-up, I know you guys aren't providing any explicit guidance here and your visibility should start to improve in the second half. But based on what you just said about ASPs, based on when you typically get purchase orders, which I think you have some lead time and backlog visibility, is it realistic at this point to expect that you're going to grow revenue in 2021 versus 2020?
Drew Hamer: Again, I can't provide guidance. It's really going to be about the unit volumes and the orders that come in from the customers about being able to grow revenue in 2021 versus 2020. And until we get a better sense of people coming back into the workplace, there's not much I can say about that right now.
Unidentified Analyst: Right. Okay. Thanks, guys.
Drew Hamer: Thank you, Ruben
Operator: We'll take our next question. Caller, please go ahead.
Michael Filatov: This is Michael Filatov from Berenberg. Thanks for taking my question. I just wondered if you guys could maybe provide a little bit more detail around some of the business, I think you said, was lost to a competitor that's a legacy competitor in this space and why that was in sort of – whether that impacts your business with that customer on additional platforms or other business opportunities with them? Or it's purely sort of the near-term first-production model?
Anand Gopalan: Yes. I mean, obviously, we cannot talk for specific customers and customer contracts. But really, as you described it, we have seen instances where the customer may go with a lower performance competitive product while our technology is going through validation and being put through its paces. We continue to be very actively engaged with both our Tier 1 partners and the OEM customers around next-generation platforms with our Velarray technology, which is clearly capable of far higher performance than any of the older technology products out there.
Drew Hamer: Which, by the way, they're evaluating for the next generation of various vehicles that they'll be bringing to market. So we're very, very busy in those conversations on various projects that are going to be for the next-gen projects that will be coming up.
Michael Filatov: Understood. And just following up on that. I guess where do you see yourselves right now in terms of getting the Velarray to sort of desample auto-grade qualifications? Where are you in that process? And what does that timeline look like at the moment?
Anand Gopalan: Yes. I think we are – we have gone through our automotive-grade qualification in the fourth quarter and continue to go through that right now. Our H800 product is in that phase today where I would say it's automotive-qualified and is capable of hitting the environmental, as well as the level of performance for some automotive applications. So I think we have made significant progress in the past six months nearly maturing the product. And we see as a result of that significant opportunities in our pipeline with interests across many different OEMs for that product and for products in the Velodyne family.
Michael Filatov: Understood. Thank you guys.
Drew Hamer: Thank you, Mike.
Operator:  We'll go ahead and take our next question. Please go ahead.
Aileen Smith: Good after guys. This is Aileen Smith from BoA. Can you elaborate a little on the commentary of the opportunity for over $1 billion in revenue from signed and awarded projects over 2021 to 2025 versus an additional pipeline of projects of $4.4 billion? Specifically, what of the signed and awarded contracts makes that backlog estimation sound a bit less firm as a quoted opportunity versus what we might hear from a standard supplier around their respective backlogs? Is it a function of narrowing down pricing? Is it differences in contract structure of production contracts versus spot buys or something else?
Drew Hamer: Yes. So signed and awarded contracts are kind of a standard industrial agreement that we have with many of our customers that are based on the unit volume agreement and they have normal price curve. So that also gives us visibility into where we'll be as we get out into the coming years with those particular contracts. And it helps us to gain confidence now. As is normal, these contracts will probably have – the firm POs will come in as we get closer to production in a given year. So the respective customers, as they understand what the production levels will be, will give us more firm contracts as they approach production. And all of these contracts are designed so that they have a component where if the contract isn't – the ultimate order isn't at the level that was originally agreed to in the signed and awarded agreement, the production agreement, then we have an opportunity to increase the price or renegotiate the price that they pay for each unit. Of course, if they come back and they want more units, then probably, they can go back and renegotiate the price as well. So standard industrial types of contracts for people to get to a kind of commercial production for a component as an application or a solution that they'll be producing. And they would lock us in on the front end as kind of a design win. And then they do all their work, putting all the final work designs into whatever it is that they're going to be manufacturing so that they can be able to make their commitments on the other end and delivering those goods.
Aileen Smith: Okay. That's helpful. And then to ask a question on another headline recently being Ford's decision to sell down their Velodyne stake. Can you talk about what this means, if anything, from a customer relationship with Ford and Argo AI and even potentially relatedly with Volkswagen? And separately, many automakers, including GM and others over the past few years have acquired their own lidar technology that they're working to commercialize. How has that impacted your discussions with existing and potentially new customers?
Drew Hamer: Yes. So we're finding like, in the case of Ford, this is a relationship we've really benefited greatly from. They are in the business of making strategic investments in critical suppliers, when they need to stand them up and ensure that they'll be financially secure to deliver these components that they need, in our case, lidar. When those particular companies that they've invested in are capable of standing on their two feet, so to speak, then they don't like to stick around as a financial investor. That's not their nature. They'd rather reallocate that capital to other investment. So we've benefited greatly from this relationship with Ford both in terms of what they've done for Velodyne Lidar in helping it to develop its products as a partner and becoming that critical supplier for them, and then also from their investment. And then as we go forward, we have a number of different projects in the pipeline, where we're on some existing cars in Phase 1, Phase 2, and they're continuing to evaluate us as a technology that would continue to Phase 3 of some of those cars. So we are very appreciative of the relationship with Ford, we continue to work with them very closely on both that current products that are being used, as well as the development of new technologies, and we would expect that to continue for a long time to come.
Emlynn Smith: Okay. And last question, what specific milestones whether from a return to work or production bookings, or other perspective, do you think you need to see through the first half of this year in order to start establishing the more formal outlook for 2021 onwards towards later this year?
Anand Gopalan: Yes, so this is – I keep – I'm having steady conversations with our sales organization in the field. And it's really focused the conversations they're having with customers to start getting them to release their PO. So a lot of the countries like Europe, we thought Europe might be up sooner, now there could be locked down through 2021. And even some of the Asian countries are seeing similar things and then they kind of keep telling us they hope. So we have great relationships with our customers, we continue to talk to our contacts on a regular basis, and we're really waiting for them to get confident that they'll be coming back to the office and when. So to have that visibility, it's really about how does the world start to unfold out there, so that our customers who are going to be using our Lidar in some system that they're building feel confident that their customers are returning to the office and they're going to be able to sell-through, so that they can have confidence to get against those POs. So from who you talk to, it depends some people hope that they're going to be come back to – come back to the office in April, others are a little less optimistic, so they may be further out. We're just looking for those conversations to firm up so that we can get confidence around when those orders are going to come in, and that we can start providing clear guidance.
Emlynn Smith: Okay, great. Thanks for taking the questions.
Anand Gopalan: Okay. Thank you.
Drew Hamer: Thank you.
Operator: As there are no further questions at this time, we'd like to turn the call back over to Mr. Gopalan for any additional or closing remarks.
Anand Gopalan: Thank you. Thank you all for joining us today and for your great questions. It is a very exciting time for Lidar and for Velodyne. We believe we have hit an inflection point in the Lidar industry as demonstrated by our record unit shipments in the fourth quarter and an expanding pipeline, which we believe is the most robust in the industry. In 2020, we’ve significantly enhanced our balance sheet, supporting this robust pipeline, this together with our leadership in broadly diversified end market for Lidar gives us great confidence in our long-term outlook for growth. We look forward to sharing our continued successes with you and hope everyone has a great rest of the day. Thank you.
Drew Hamer: Thank you.
Operator: Once again, that does conclude today's conference. We do appreciate your participation.